Operator: Greetings, and welcome to the CarGurus Inc. Second Quarter 2019 Earnings Results Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to Rodney Nelson, Head of Investor Relations. Please proceed.
Rodney Nelson: Thank you, Operator. Good afternoon, and welcome to CarGurus' Second Quarter 2019 Earnings Call. We'll be discussing the results announced in our press release issued today after the market closed and posted on our Investor Relations website. With me on the call today is Langley Steinert, CarGurus' Founder and Chief Executive Officer; Jason Trevisan, Chief Financial Officer; and Sam Zales, President and Chief Operating Officer. During the call, we'll make statements related to our business that may be considered forward looking, including statements concerning our financial guidance for the third quarter and full year 2019, management's expectations for our future financial and operational performance; our business and growth strategy and our plans to execute on our growth strategy, including our ability to expand our global audience and add new paying dealers; our brand awareness and traffic acquisition efforts, including investments in growing our audience and brand building across our U.S. and international businesses as well as our ability to reduce customer acquisition costs over time; our ability to achieve our 2019 strategic initiatives; our investments in and ability to drive adoption of new and existing products and features and their benefits; our expectations for our consumer finance partnership and peer-to-peer marketplace, including our ability to expand through additional lenders and maximize market opportunities; the ability of our additional marketing solutions to assist our dealer's digital marketing efforts; the value proposition of our products, including the ability of new products to drive AARSD growth; the growth levers we expect to drive our business; our ability to maintain existing and acquire new customers; our expansion into international markets and our international growth strategy; our ability to successfully integrate and improve the PistonHeads website; our expected expenses; our ability to successfully grow our product and engineering organization; and other statements regarding our plans, prospects and expectations. Forward-looking statements may include words and phrases such as we expect, we believe, we intend, we anticipate, we plan, may, likely, upcoming and similar terms. These statements reflect our views only as of today and should not be considered our views as of any subsequent date. We undertake no obligation to update or revise these forward-looking statements except as required by law. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties that could make -- cause the actual results to differ materially from our expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to those contained under the heading Risk Factors in our quarterly report on Form 10-Q filed after today's market close as may be updated by our other SEC filings. Further, during the course of today's call, we will refer to certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is included in our press release issued after market close today. The press release and our SEC filings can be found in the Investor Relations section of our website at investors.cargurus.com and the SEC's website at sec.gov. With that, I'll turn it over to Langley.
Langley Steinert: Thank you, Rodney, and thanks to everyone for joining us today. I'm pleased to share CarGurus had a strong second quarter. We attracted 30 million average unique monthly visitors to our U.S. site and drove leads growth that outpaced audience growth, resulting in strong ROI for dealers and our fourth straight quarter of 20%-plus year-over-year U.S. AARSD growth. We are digitizing more elements of the car shopping experience with our consumer finance partnership in our peer-to-peer marketplace. And we are making important strides against our strategic initiatives.  We generated strong international traffic growth, more than tripling international sessions year-over-year. We also delivered our best quarter ever of organic international net dealer additions and have begun commercializing our Italian marketplace, expanding our businesses' global reach.  As we shared on our first quarter call, we rolled out our consumer financing partnership to over 10,000 U.S. dealers in May, giving consumers access to financing options on nearly 3 million CarGurus listings. Financing is one of the biggest pain points in the car shopping journey, and we are committed to providing greater transparency around the financing process with our native prequalification offering. We believe we're creating a more streamlined experience for consumers, both before and during their visit to the dealer, and we're delivering more qualified shoppers to dealers.  The early performance of our financing partnership is promising as CarGurus users are submitting thousands of financing applications per day, and users who are preapproved are submitting those applications at dealers over 20% of the time, creating a high value add lead source for dealers. We're excited about our consumer financing opportunity, and we're working to bring more lenders onto our platform to increase both consumer and dealer coverage and unlock more of the $3 billion market opportunity in U.S. consumer financing. In addition to consumer financing, we're also making great progress transforming our peer-to-peer platform to create a fully digital transaction experience to serve more -- the more than 11 million private transactions that take place annually in the U.S. In total, we believe peer-to-peer is a $6 billion greenfield opportunity that we are in a unique position to serve with our industry-leading audience of car shoppers.  As we shared at our Investor Day in June, we digitized buyer and seller identity verification and rolled out a digital bill of sale for peer-to-peer transactions. Since then, we have launched digital ownership verification, which validates the seller's identification and matches the seller with the vehicle title. Ownership verification is an important function for a secured digital transaction and a key building block for digitizing other elements of the transaction such as payment processing. We continue working to digitize access to add-on offerings and services, such as payment processing, financing and warranties to help our P2P marketplace scale efficiently to maximize its growth potential. We believe our commitment to trust and transparency throughout our platform has allowed us to attract the largest audience of car shoppers in the United States. CarGurus continues to attract the largest audience in the industry by far, as nearly 60% of visits across the four major U.S. automotive marketplaces occur in CarGurus, and we generated nearly 3x the number of visits as our next closest competitor as measured by comScore.  We attracted 37 million average monthly unique visitors to our U.S. site in Q2, and those visitors generated 101 million average monthly unique sessions in the quarter as measured by Google Analytics. These audience totals represent compound annual growth of 26% and 29%, respectively, over the last few years since the second quarter of 2017, and we generated our highest average visits per visitor since the first quarter of 2017.  We continue to focus our traffic acquisition and brand-building strategies on finding high quality, down-funnel shoppers, and our product and engineering teams are delivering meaningful on-site conversion wins. As we've done in the past, we grew leads to dealers at a faster year-over-year rate than both unique visitors and sessions in the second quarter. Our investments in our brand are driving direct, branded and apt traffic growth, which we believe will allow us to maintain our audience lead and improve our customer acquisition efficiency over time. Our focus on building the largest, most engaged audience of car shoppers has created a listings platform that we believe is mission-critical to a dealer's business. And we are augmenting that platform with a growing suite of best-in-class digital marketing solutions to manage the dealer's digital marketing effort. We continue to track new paying dealers to our platform as a result, as we added 370 net new paying dealers to our U.S. business in the second quarter. Most importantly, our relationship with our existing paying dealers are growing as we introduce new products and features and deliver greater connection and lead volumes, resulting in what we believe is a market-leading ROI for dealers. We're seeing strong adoption of our new products as we are providing dealers with a digital marketing suite to reach customers more efficiently, and we're also creating tools, such as delivery, to help dealers grow their business. In the second quarter, we delivered our fourth consecutive quarter of 20%-plus year-over-year U.S. AARSD growth. U.S. AARSD grew 23% year-over-year in the second quarter, and we generated our strongest AARSD growth contribution from new products to date. Our leading audience in best-in-class products enabled dealers of all sizes to have success on our platform. Blake Yelverton Imports, an independent dealership in Gulfport, Mississippi, has not only leveraged our listings platform to compete more effectively in its local market, it is also using delivery to expand its reach and serve customers in other rural markets. Blake Yelverton, owner of Blake Yelverton Imports, says, "As a small dealership with a small marketing budget, I can't recommend enough the positive results I've seen from CarGurus. The types of customers I'm receiving from CarGurus are well-educated and are ready to buy." Yelverton continues, "Ever since I've added the CarGurus delivery options, I've seen more leads. It's allowed for most of my vehicles to show up in other smaller markets where that particular vehicle isn't really accessible. Over half of my CarGurus leads stem from the delivery option." Blake Yelverton Imports is a great example of a dealer taking advantage of our technology to grow its business with our platform. Turning to our international business. We generated another quarter of strong audience growth that it's fueling our growth, growing net dealer additions. In the second quarter, we generated 10 million average unique monthly visitors, up 180% year-over-year, inclusive of PistonHeads. Further, those users generated over 24 million average unique monthly sessions, more than triple our total from the second quarter of 2018. Our product and engineering teams have worked tirelessly to tailor our international sites to align with consumer preferences in those markets. And we're seeing strong down-funnel engagement from our international users. We've also had a number of product development wins in recent months, driving significant on-site conversion rate improvement. In fact, our U.K. conversion rate has climbed steadily throughout the year and hit a new all-time high in June, up more than 25% from a year ago. Our international CarGurus sites more than doubled average unique monthly sessions year-over-year, and our leads to dealers grew even faster over the same time horizon. Our investments in our brand in Canada and U.K. are helping consumers find CarGurus, and our consumer-centric, transparent experience is helping those users find great deals from top-rated dealers. We continue to integrate PistonHeads into our business and the team is making great strides modernizing PistonHeads' technology and user experience. We're committed to our international growth, and we've invested accordingly. We're driving audience growth across algorithmic traffic acquisition strategies, brand initiatives and our acquisition of PistonHeads, and we believe we're creating a superior value proposition for dealers with our technology. As we launch more products internationally, we believe we can execute the same cross-selling strategy in other markets just like we are here in the U.S. The growth resulting from these commitments is resonating with dealers, and they're recognizing our value proposition as we scale our audience. To that end, we added 662 net new paying dealers in our international business in the second quarter, far and away our best quarter ever. The strength in paying dealer growth which fell across the international businesses, has each of our core businesses in Canada and the U.K. have their best paying dealer growth quarter ever. Additionally, we've enjoyed strong momentum in Italy on both sides of our marketplace. And we began commercializing our Italian business with our first paying dealer coming on board in the second quarter.  Our consumer-centric approach in our international business is attracting more and more consumers, and our commitment to trust and transparency is creating more qualified shoppers with whom our dealers can engage. Dealers, such as Stop 23 Auto Sales in Listowel, Canada, has seen strong returns on their investment in the CarGurus platform. Scott Davidson, Founder and CEO of Stop 23 Auto Sales said, "Our partnership with CarGurus has been impeccable. We've seen results immediately with CarGurus, and over the last year, CarGurus has become our number one lead provider. Our conversion rate runs at 18% from leads of sales because, I believe, the shopper that uses CarGurus is a more qualified shopper. By the time they connect with us, they're ready to buy." We're excited about our international opportunity and our ability to provide dealers like Stop 23 Auto Sales with a strong return on their investment with us. In summary, our core business is strong. We're seeing strong adoption of new products, and our international business is building momentum. We're not only driving lead growth from our market-leading audience in the U.S., but we're providing dealers with new products and features to grow their business and market vehicles more efficiently.  For our consumer audience, we're making important strides in new product initiatives, such as consumer finance. Our investments in our international business are bearing fruit as paying dealers are coming on board in larger volumes than ever before. Finally, we're raising our outlook for the remainder of the year following a great first half. I want to thank all of our employees for their extraordinary efforts, thus far in 2019. I'm excited about the opportunity we're pursuing together to grow the business.  With that, I'll turn the call over to Jason to discuss our financial performance.
Jason Trevisan: Thank you, Langley. I'll provide a detailed overview of our second quarter performance, followed by our guidance for the third quarter and updated outlook for the full year 2019. Total second quarter revenue was $145 million, up 31% year-over-year and roughly $4 million ahead of the high end of our guidance range. Our marketplace subscription revenue grew 32% year-over-year to $129.1 million, and advertising and other revenue grew 27% year-over-year.  I want to draw your attention to two factors that impacted our advertising and other revenue in the second quarter. As we noted on our first quarter call, we observed better-than-expected U.S. advertising revenue in the first quarter as OEMs exhibited stronger spending behaviors earlier in the year than we have historically witnessed. However, as we've often noted, advertising revenue fluctuates with campaign timing and, thus, is less predictable than our marketplace subscription business on a quarterly basis.  Additionally, we observed more modest sequential advertising revenue growth in the second quarter compared to previous years, given the strength of our first quarter advertising revenue this year. Second, we rolled out our consumer financing partnership nationwide during the second quarter. While we do not plan to comment regularly on the nature of an individual product offering's revenue performance, I want to provide some context for the revenue recognition of this product as it is affected by the ASC Topic 606 accounting standard.  Based on our agreement with our lending partner, which includes variable consideration that does not correspond to our level of effort on the contract, Standard 606 stipulates we must estimate the total amount of consideration we will receive over the term of the agreement and recognize revenues on a ratable basis over the life of this contract. Further, we must update our estimate of total consideration to be received under this agreement each quarter based on consumer demand for financing and we recognize any catch-up necessary upon adjusting estimates. In the second quarter, we increased our estimate of the total consideration we will receive under the agreement and, as a result, we recognized additional revenues in the second quarter, which included a year-to-date true up. Parsing performance by geography, the U.S. accounted for 94% of total revenue in the second quarter. U.S. revenue rose 29% versus the year ago period to $137 million. International revenue grew 104% year-over-year to $8 million. Turning to paying dealer count. We surpassed 34,000 total global paying dealers in the second quarter. We ended Q2 with 34,267 total paying dealers, representing an increase from Q1 of 1,032. In the U.S., we finished the quarter with 28,431 paying dealers, up 6% year-over-year and an increase of 370 from the end of the first quarter. This compares to 527 U.S. net dealer additions in the first quarter and 610 in the second quarter of 2018. As we've stated often, quarter-to-quarter net dealer adds will be variable, but over the long term, U.S. net dealer adds will become more gradual as our paid dealer market share increases. In our international business, we added 662 net new paying dealers in the second quarter. As Langley noted, the strength in our core businesses in Canada and the U.K. and the commercialization of Italy yielded our strongest ever quarter of organic international net paying dealer additions. We ended the second quarter with 5,836 international paying dealers, up 88% year-over-year. We continue to deliver strong U.S. AARSD performance as we deliver greater connection and lead volumes to dealers, increase new product penetration and optimize our pricing and packaging. U.S. AARSD grew 23% year-over-year in the second quarter to $16,188. As we noted on our first quarter call, we face more challenging audience growth comparisons in the second quarter, a phenomenon that will continue in the back half of the year. As such, AARSD growth was driven more evenly across volume, new products and unit pricing and packaging than in historical periods. And as Langley referenced, we received our best-ever AARSD growth contribution from new products in the second quarter. International AARSD was $4,911, a 2.5% decline year-over-year and in line with the first quarter. As a reminder, we excluded and we will continue to exclude the impact of PistonHeads from this metric until we have four trailing quarters of operating results to accurately render its contribution. We expect international AARSD to be lumpy on a quarter-to-quarter basis as we experience high percentage growth in paying dealer count in our international business, and we view audience growth and paying dealers as the best indicators of international business strength. I will discuss our expenses and profitability on a non-GAAP basis, which backs out our stock-based compensation expense and amortization of acquired intangible assets. Second quarter non-GAAP gross margin was 94.1%, roughly in line with previous quarters. Total second quarter non-GAAP operating expenses were $123.8 million, up 31% year-over-year. Non-GAAP sales and marketing expense grew 29% year-over-year to $99.2 million and represented 68% of revenue, down from 70% in the year ago quarter.  Our U.S. business continues to exhibit increasing operating leverage via sales and marketing, as we focus traffic acquisition on down-funnel traffic and generate on-site conversion improvement that we will prudently continue to invest in brand building and traffic acquisition across both our U.S. and international businesses. Our non-GAAP product, technology and development expenses grew 45% year-over-year to $13.3 million and represented 9% of second quarter revenue. As we stated previously, we continue to prioritize investments in our product and engineering teams as we pursue long-term business opportunities. We generated non-GAAP operating income of $12.7 million, roughly $2.7 million ahead of the high end of our guidance range. Marketplace subscription revenue growth was the primary driver of operating income outperformance in the quarter, and we also received an incremental benefit to operating income from the revenue true up stemming from our consumer finance partnership. Non-GAAP diluted earnings per share were $0.10 for the second quarter, $0.02 ahead of the high end of our guidance range. On a GAAP basis, we delivered second quarter gross margin of 94.1% and total operating expenses of $132.9 million. The increase in operating expenses is primarily the result of increased sales and marketing expenses and PistonHeads' operating cost add to the year-over-year expense increase. Second quarter operating income declined 10% versus the year ago period to $3.5 million. Second quarter GAAP net income attributable to common shareholders totaled $6 million. Similar to recent quarters, we recognized a tax benefit, which in the second quarter totaled $1.6 million, stemming from stock deductions from the taxable benefits of equity-based compensation as well as federal and state research and development tax credits. GAAP diluted earnings per share were $0.05 in the second quarter.  Geographically, our second quarter GAAP operating income was $14.1 million in the U.S., and we had a GAAP operating loss of $10.6 million in our international business. We ended the second quarter with $147.2 million in unrestricted cash and short-term investments, an increase of $8.7 million from the end of the first quarter. We generated $16 million in cash from operations in the second quarter and $12.4 million in non-GAAP free cash flow, which includes capital expenditures and capitalized website development costs of roughly $3.6 million. During the second quarter, we withheld and remitted $4.6 million in withholding payments from RSU share settlements, stemming from our equity compensation plan. We continue to evaluate this practice and may explore other avenues for managing tax withholding related to equity compensation going forward, though no change to this practice is imminent. I'll close my prepared remarks with our outlook for the third quarter and full year 2019. As we look at the remainder of the year, we expect to see slower growth from our advertising and other business, particularly as OEMs observe slowing car shopping activity and new car sales. We expect to maintain robust growth in our marketplace subscription business as we layer in new products and fine tune our pricing and packaging strategies. With this in mind, we are raising our full year revenue outlook to a range of $576.5 million to $582.5 million, implying roughly 28% year-over-year growth at the midpoint. This compares to our prior guidance of $569 million to $578 million. We're raising our non-GAAP operating income to a range of $54.5 million to $58.5 million, up from $50 million to $56 million, implying a 9.7% operating margin at the midpoint of our operating income and revenue guidance ranges. This is roughly 80 basis points ahead of our initial full year 2019 guidance set on our Q4 2018 call in February. We are raising our full year non-GAAP EPS guidance to a range of $0.42 to $0.45, up from $0.39 to $0.43 previously.  Focusing on the third quarter, we expect total revenue to be in the range of $145.5 million to $148.5 million, non-GAAP operating income in the range of $10.5 million to $12.5 million and non-GAAP earnings per share in the range of $0.08 to $0.10. Overall, our business is positioned well to execute in the back half of the year. We're attracting an audience that is nearly 3x the size of our next closest competitor, while working to maximize the efficiency of our consumer marketing spend, grow our brand and increase consumer retention. Our international business is scaling quickly, and we're investing aggressively and appropriately to build our audience and set ourselves up for long-term success in each market globally.  The investments we are making in product, technology and development are yielding new digital marketing products and features for dealers, as well as driving advances in our consumer finance partnership and P2P marketplace. We're making strides toward achieving the goals outlined in our 2019 strategic initiatives, and we're looking forward to a strong second half of the year.  With that, we'll open up the call for Q&A.
Operator: [Operator Instructions]. And with that, our first question comes from the line of Dan Kurnos with The Benchmark Company.
Daniel Kurnos: Just obviously there's been a lot of talk about the environment. You kind of addressed it a little bit there, Jason, at the end just in terms of add expectations, but with the gross profit compressing a little bit for you, just how are you guys thinking about when you have renewals coming up, how dealers are receptive to price increases? And I think, Langley, in your prepared remarks you also talked about some product wins, so just how you guys are seeing still being able to upsell in this environment.
Samuel Zales: Dan, it's Sam Zales. Thanks for the question. I think we've said this from the beginning that dealers are looking for scale, and scale wins in this marketplace. And I think when you think about the consumer audience we're driving and how big it is compared to the competitors in the marketplace, no dealer likes a renewal process where they ask for -- or where we're asking for a price increase. And that price increase is both on the volume that we're delivering and the return on investment that we're driving to the dealer results. While it's an emotional decision they have to pay more for a program year-over-year. That delivery of return on investment in which we're constantly looking at, the close rates that our dealer should be appreciating on the consumers and the connections that we're driving, the results we're driving against the cost, it's a tremendous return on investment.  So because of scale and because of that down-funnel shopper that we're driving to the dealer, the return on investment allows us to ask for our fair share of that program cost over time and the return on investment. And so those renewals are working and working effectively for us. To your question of products, we've been benefited from the fact that our engineering department has delivered a number of new initiatives. We talked about them before, delivery -- our display product focused, audience retargeting, the SEM Plus product, the take rate goes up because we're bringing a differentiated product to market. Again, we're using our data driven and expertise in technology approach to drive products that bring a down-funnel shopper to our dealer websites, to our dealer forecourts, their storefronts. And if we're doing that, we're driving tremendous return on investment. We cannot only get the renewals in, but we're also getting our biggest increase in AARSD coming from product -- new product sales, and that's the definition that we're bringing the same competitive advantage to products in the marketplace as we did on listings. And that's allowed us to grow AARSD from the perspective of connection growth, new product sales and the price increases that you asked about.
Daniel Kurnos: And then on just...
Jason Trevisan: This is Jason -- sorry, Dan. I'm just going to add one thing, which is a complement to Sam's response, which is more of a top-down look. I mean the estimates of dealer -- U.S. dealer gross profit from used car sales are anywhere between, call it, $45 billion and $60 billion. And our U.S. listings business is, call it, $500 million. So we're about 1%, and that's being generous. We're about 1% of gross profit. And so even if the dealer's gross profit were to come down a little bit, we are a tiny, tiny percentage of the total pie.
Daniel Kurnos: That's helpful color, Jason. And just, Sam, just to be clear on your commentary and looking forward in terms of take rates of new products and going back even at the Investor Day, you're seeing still increased adoption. Can you speak to kind of multiple product adoption efforts?
Samuel Zales: I think we said we're not, Dan, going to be providing that on a quarterly basis. At Investor Day, you'll recall that in the first quarter, we were at 28% multiple product penetration for our customers. We're proud of that number growing as quickly as it is, and with new products continuing to come to market, we're excited about the opportunity going forward.
Operator: And our next question comes from the line of Tom White with D.A. Davidson.
Thomas White: Just one on U.S. audience trends. So as you guys talked about, there was a bit of a slowdown there in the second quarter. It sounds like we should expect that pressure to sort of persist in the second half, but can we assume that it still grows unique sessions as the comps ease a bit? And then just a clarification on the advertising line slowdown, still healthy growth but a bit of a decel and you called out the comp and some of the vagaries around OEM kind of campaign timing. But was there any impact to that line from the slowdown in some of the audience stuff?
Langley Steinert: Tom, it's Langley. With regards to audience statistics, there are two things I want to stress. We kind of -- we gave a foreshadowing of this at the last quarter's earnings announcement when we talked about it that the comps from a kind of Q2 to Q2 basis year-over-year are a little distorted by the fact that last year -- and again we talked about this last quarter and we kind of told everyone to be prepared for it, so I'm a little surprised that people haven't picked up on that at this point. The comparables to last year are quite a bit distorted by some, frankly, extraordinary events that we had last year from a traffic basis, which we don't see as recurring.  And so I would say that probably Q1 and Q4 of this year are probably more normal. So I actually would not agree with your positioning that we should expect traffic to be -- continue to be as mute as you're referring, so it's number one. And again we talked about this in Q1. And number two, we spent quite a bit of time this quarter, or actually over the last nine months, focusing not just on traffic but on conversion because if you just generate a bunch of traffic that doesn't convert, that's useless. It's traffic that leads to leads, which leads to sold cars, is what's more relevant. And we refer to it in the earnings release that we spent -- and we're actually quite proud of the fact that while certainly uniques weren't -- or perhaps a little bit muted, although, again, I refer to that year-over-year comparison issue, our leads numbers were actually quite good because we spent quite a bit of time focused, again, not just on acquiring traffic but on acquiring traffic that converts.  So you put those two things together, we're actually quite pleased with where we are from our ability to deliver leads and convert to sales to our dealers. And I go back to initiative was talked about in the last question, which is really about market presence. Being number one in a category and being number one by a large share, gives us quite a bit of pricing leverage, which we're very careful how we exert. But again, being number one in the category of a large measure gives us quite a bit of room on pricing and how we package our products to our dealers.
Operator: And the next question comes from the line of Naved Khan with SunTrust.
Naved Khan: A couple of questions, sir. On the financing product, it looks like it's off to a promising start. And I think, Langley, you spoke about maybe expanding the lenders in the mix and rolling it out on a broader basis. How quickly can you do that? And then just quickly maybe on PistonHeads, what are the changes that you have made to date? And what's the -- what are sort of the early results you are seeing with those changes? Can you shed some light there?
Langley Steinert: Yes. I mean our financing is -- it's still quite early days, so we don't want to overplay that one. We're excited about the market opportunity. We do anticipate adding more lenders to the marketplace as we go along. And we're excited about the consumer reaction. But again I would say that we're kind of early in the process, so it looks promising, but it's still early.
Samuel Zales: And I'll take the question, it's Sam Zales, on PistonHeads. We've been really pleased with the combination of our PistonHeads business with CarGurus U.K. As you'll recall, we -- the value proposition there was a terrific and iconic brand in the U.K., content that is particularly important to the U.K. consumer. And what we're doing in the first six months of working with them is building the technology platform, taking our success in building technology platforms here in the U.S., applying that to the PistonHeads' infrastructure. We'll be applying that with our technology approach, to focus on data-driven approach to consumer acquisition.  And we think in the early days, what's worked very well for us is, one, the combination of the two brands. And you heard the results grow, in terms of visitors and dealer acquisition in the U.K., at record pace. I think it's a combination of putting the two brands together. It's cross-selling products to each side of the business, and it's allowing both dealers and our partners on the advertising side of the businesses to jointly look at these two now larger and very growing businesses, that CarGurus U.K. and PistonHeads, and find more opportunity to do business with us. So we're pleased with the progress and look to present more of it over time.
Naved Khan: That's very helpful. And just coming back to my question around financing. And maybe Jason can answer this, but how should we be thinking about the contribution to the top line from this product?
Jason Trevisan: Thanks for the question, Naved. We -- as we've said on past calls, our relationship right now is primarily driven by funded loans. And so we get paid each time a loan is funded. In some cases, it's based on whether an application is submitted or not, but you should think of it as funded loans. It applies to a percentage of our audience, and it's a small but growing percentage. But it's a fairly, what we think is a market rate, but relative to what we get paid for leads or connection, it's a fairly healthy amount. So -- but it's small to start, and we're starting from a standing start earlier this year. It is very high margin, though. And so I would say you should think of it as something that was effectively zero to start the year, is scaling nicely in its early days and is a low total dollar amount but high -- very high margin contributor. And we think next year it will be more meaningful.
Operator: And the next question comes from the line of Ron Josey with JMP Securities.
Ronald Josey: Just Jason really quick, following up on what you just talked about with financing. You said it was currently small because of -- it was a small amount overall relative to the audience. But is it small because of dealer overlap with your partner? Or is it just small as you test it out? And maybe taking a step back, Langley, I think you talked about there's a strongest contribution yet to U.S. AARSD from new products to date. And so wondering of these new products, is that retargeting? Is it that consumer finance? Is it delivery? Anything you can provide there would be helpful on just what new products you're seeing the highest uptick.
Jason Trevisan: Ron, so on financing, it is -- when we started out, we started out with several hundred dealers. We then moved to a few thousand and now we're beyond -- we're in the double-digit thousands of dealers overlap. And I think Langley said in his comments, 3 million of our cars -- 3 million of our -- yes, cars have VDPs with financing offers on them on a total inventory base of $5.5 million or so. So from an overlap sort of footprint perspective, that gives you sense.  As we do look to add lenders though, we are looking at ones that will provide complementary overlap to dealers, so that -- we're not only getting multiple offers to a consumer on a given VDP. We're also getting better coverage of our VDPs. So we're a long way off from having full coverage across dealers. But as we look at lenders, numbers two, three, four et cetera, we're looking at ones that serve and partner currently with a different set of dealer base so that we can drive that to upwards of 20,000 dealers that have a financing offer with them.  In terms of products that are adding -- that we're adding on, I would say I think of it as sort of listings enhancements and then digital marketing products. And the primary one in this calculation that we used in listings enhancements is delivery, which you've heard us talk about is being very warmly received by dealers, but on much more even footing with some of the national providers. And then in the digital marketing portfolio, it's our focus product and our amplified retargeting products, which are both banner-ad oriented products and then dealer SEM as well.
Operator: And the next question comes from the line of Mark Mahaney with RBC.
Mark Mahaney: Two questions. On the international markets it seems like you called out U.K. and Canada is performing relatively well. Is the monetization path that you've seen for all of your international markets pretty consistent in Germany? Are there any -- in other countries in Western Europe, are there some markets in Western Europe that aren't performing that well? Just talk about the range of international markets, and is the path relatively similar? And then if I can just get back to Ron's question on the products. How about if I ask the question this way: both different products that you've got, that you've rolled out including consumer finance now, call it out like two to three years now, given the market opportunity that each of them can base, which could be most material or which one or two could be most material to the P&L in terms of revenue and profit generation?
Samuel Zales: Mark, thanks for the question. Sam Zales, I'll take the first, which is international. We did call out U.K. and Canada at record growth in terms of dealer acquisition. Those audiences are growing very quickly as well. We talked about those as we did in Investor Day because those are our most mature and established markets. And they're moving in the direction that we're very confident in. I think we've said before, our portfolio of international countries are almost like each of its own a startup country. They're each of their own dynamics. They're not all consistently similar in terms of both consumer acquisition and dealer acquisition.  I think we've mentioned our stages of international development are: one, inventory acquisition; two, growing a consumer experience and consumer audience; three, then acquiring dealers onto our paid platform; and four, launching additional new products for dealers. And so they're all at different stages. I think we've mentioned before, as an example, Germany, you asked about that specifically. Germany is a different consumer experience. Consumers are more careful about sharing their privacy and their personal information, which makes their connections to dealers slightly different. And as an example, Langley mentioned in his comments, Italy is now commercialized. That was launched, as you know, just in 2018. So that's a market that's moved very quickly, an established process where our consumer traction has moved very well and it allows the user to see the value in the return on investment and sign up for our paid programs.  So they all move in different directions. I think the common thread about each of them is a marketing, which the consumers are lacking the transparency we brought to our U.S. experience. And dealers, likewise, are unsaturated with the incumbent players in a customer acquisition sense and are looking for a better return on investment from a new partner. So we're hoping that, that value proposition we bring to both sides of the marketplaces works well in each of these markets. I'll turn it to Jason to answer your question on the products.
Jason Trevisan: Mark, so yes, I would echo a distinction that I said earlier and add one to it. So I would say think of our -- these types of products in now three categories. There's listings add-ons. There's digital marketing and then there are emerging segments like financing and P2P. The listings add-ons, they are -- delivery is a good example. They're very high margin to us because they are sitting on top of our marketplace business. Dealers are spending about $2.5 billion to $3 billion in listings. They know and we remind them that the ROI is very good on that. They understand the leads business. And so those types of ancillary listings enhancements can be very easy for them to pick up and they can come out of the gate quickly and they're high margin.  The digital marketing products, those tend to be much higher spend for dealers. Dealers spend about $10 billion on digital marketing versus the $3 billion or so on listings. But they're clearly lower margin where, in some cases, we're needing to buy media to tap into our audience when they are on other sites. So dealers are spending those dollars today with oftentimes, some times with another third party, some times direct. And we can tap into what is a very large $10 billion wallet but it's lower margin, but those can be sizable.  And then the third category is what I call emerging. The two examples of that with us today are consumer finance and P2P, not really dealer spend type product per se, but we've described financing itself as a $3 billion TAM for us. And so if we can -- and we think we can, if we can crack the code on the right user and dealer experience and the right monetization, then those have an opportunity to be very large segments for us that are tapping into pools of dollars that we literally haven't even tapped into yet. So they're the highest risks, I suppose, because they're the earliest along. But they're the biggest untapped markets for us that we're very excited about.
Operator: And our next question comes from the line of Nick Jones with Citi.
Nicholas Jones: One on the P2P marketplace, where are you kind of in consumer awareness? And it seems like maybe you have some dealers who are looking to source more vehicles, some consumers, maybe some of your competitors are also competing in this P2P marketplace. Kind of where are you along the [indiscernible] and some of the things you need to do to raise awareness? And then I have a follow-up after that.
Langley Steinert: Nick, it's Langley. I'll take that one. So I think the short story is we think we have a unique position in the marketplace because of our audience. Well, actually two things. Number one, the size of our audience, so we have the biggest audience by far, which -- what brings buyers. And then secondly, I think the take that we're making on this sector is to bring kind of transparency and trust to what has otherwise been -- how do I put this politely, a very untrustworthy process where you trade money in the back of a Dunkin' Donuts for a car, so price transparency and the other elements of the product, which we're working on digitizing. So our goal, which were hopefully soon to complete, is to allow people, just using a mobile phone to do everything from identity verification to title verification, escrow and actual full money wire -- a full wire transaction right on a mobile phone. So we believe that's a really compelling process, which will bring a lot more trust to the experience.  In terms of awareness, we haven't really kind of opened up the firehose, although we have the firehose already at our disposal given the size of our audience. We're really more focused on perfecting the products so we can deliver this end-to-end mobile, a fully digitized experience. Once we've done that, which we're hoping is some time this year, then we can begin to focus on scaling. But again, as I mentioned earlier, scaling is not the issue because we have the audience. It's really making sure that the product is as trustworthy and seamless as we're shooting for.
Nicholas Jones: Got it. Then just one kind of on the audience, it's kind of sessions per MAU, is that going to become more of an important metric on conversion? Because it seems like kind of your MAU's up in the mid-30 millions that's kind of approaching a pretty large portion of the annualized number of people who would be in market to buy a car in the U.S. I guess how should we think about kind of the metrics and as MAUs maybe chart the pie tone the next year or two?
Jason Trevisan: Nick, it's Jason. So pinning down the total unique source searching for a car is a tough exercise. comScore has an auto vertical total that you can use, but when you back into the number of cars bought each month in the U.S., it's tough to make the numbers add up. So we think we still have runway in uniques undoubtedly. What we do look at is around minutes. And from a minutes' perspective, we've got over half the minutes, I think we have around 60% of the minutes among the four shopping sites. If you look at the auto vertical more broadly, then we've got less than that. So we think there's room.  And as we've always said, I mean, we really do think that there's a chance that from a consumer perspective, this is a winner-take-most opportunity. If we can communicate to consumers that we have the most inventory from the most dealers, we give them the most information on the cars and we sort it in the most intuitive way to the dealer, that we will be able to win the hearts and minds of most consumers out there. Where we think there's -- and so as a result of that, we focus more on minutes. Sessions per unique is very important to us because the user shopping journey is a long one. It has a lot of browsing. And the more engaged we can get with the consumer, the more trust we build with them. And we view that as a good thing because it makes them more qualified buyer for when we do hand them off to a dealer.  Where we think there is the most upside, though, is around awareness. And so if you look at our unaided awareness, it's improving, but on a relative basis, it's still quite low. And so we think when we will start to really see benefits, particularly in a margin -- from a margin perspective as much as from a revenue perspective, is when we get the unaided awareness numbers much higher. And those are low double digits right now. So we were in uncharted waters from an audience standpoint because we are the largest audience, but we are continuing to focus on the engagement of that audience. And then also, as we've said a couple of times here, audience is one thing but driving qualified leads to a dealer is another. And we continue to have our lead volume -- or our lead growth, I should say, outpace our audience growth.
Langley Steinert: Nick, this is Langley. One other -- it's not -- it's somewhat related to your question but I do want to emphasize it actually goes back to something Sam talked about earlier. Like -- I'd say five years ago, when we were the number three or four player in the marketplace, we spent a lot of time talking to dealers who said, "You know what, you're great guys. You're growing well. We don't have time for you." And that was really frustrating. And listen, when you go to any marketplace, you'll see that the #1 -- and even to a lesser degree, number two players are the ones that garner all of the dollars. Being number three or four or five in any marketplace is as good as being last.  And I raise that only because -- and we use this leverage carefully with our dealers because we treat our dealers as partners. But being number one in the category, by the distance that we are, gives us enormous leverage as we work with our partners to think about pricing and how we package our products. And I don't think, honestly, that enough people understand that concept of the distance between being number one by the distance that we are and how important that is to your position in the marketplace, your leverage on pricing and just general enterprise value. And the second part, as we think about growth, I continue to think people will give us very little credit for the great work we're doing in international. We're not just a domestic story. We're a global story. We're in U.S., England, Canada, Germany, Italy and Spain. And those, albeit, are smaller businesses at the moment, but you look at the growth levers on those, and also due to the computation on the market caps on some of the players in those markets, and there's enormous option value to our international markets, which I don't think too many people, again, makes a ton of credit for.
Operator: [Operator Instructions]. And our next question comes from the line of Marvin Fong with BTIG.
Marvin Fong: Just two since most of them have been asked already. Just going back to the sessions per visitor being the highest since the first quarter of '17 that you referred to, Langley. Is there anything you're doing on your part to drive that? Or is that a function of, say, the consumer being -- devoting more time to do their research process? If you could just shed some light on that. And then just secondarily on the financing, Langley you had said about 20% of the people who are preapproved are submitting applications. Is that a number that's trending up? Or do you think it's kind of stable at that 20% level?
Jason Trevisan: Hey, Marvin, it's Jason. On sessions per visitor, I would say I'd like to think that it's because of some of the things that we're doing here. I don't know if -- I don't know a reason why shopping behavior would be changing per se, although I can't say that we've looked at that closely over the last quarter. I think it's more driven by the things that we're doing. And I would say it's in three areas. One is you've heard us talk about on-site conversion improvements. Langley referenced them in his comments at the outset around product enhancements related to the site and the conversion, and that's just making it a better experience for the consumer. It's making it more -- it's helping them connect with the right dealer in a better way.  The second is around engagement and the site experience and how that's tying to our -- in particular, how that's tying to our brand marketing, but also how we're, we think, doing a better job sort of displaying the merchandise of our dealers, which is creating a more sort of unified experience for the consumer, making them more engaged. And then the last is some progress we're making around, we call it, in-market retention, but ways that we can bring the consumer back to the shopping process and also make better recommendations to them of other products that they may like based on what we know about them. So we're doing a bunch of things in the products and site side that we think is growing engagement versus any shopping differences.
Langley Steinert: On the financing conversion number you referred to, I think the future will tell, obviously. I think adding more breadth to the coverage that we have in terms of other lenders who might cover different credit spectrums might help out, and that's certainly part of our goal is to make sure we try to provide as broad a coverage to consumers in terms of choices and credit worthiness.
Operator: And our last question comes from the line of Derek Glynn with Consumer Edge Research.
Derek Glynn: Just curious looking out over the next year or two, do you think we could see an inflection higher in your U.S. operating margins from this low double-digit level as you've demonstrated some degree of sales and marketing leverage and reached some critical mass in the U.S. on the one hand, but you're still making a lot of investments? Just wondering how you're thinking about the puts and takes there as it relates to your margin trajectory.
Jason Trevisan: Derek, it's Jason. Yes. I mean we have -- we continue to believe in the long-term margin targets that we've set out. So the short answer is yes. I think to try and compress it into, you said, over the next year or two, on a quarter-to-quarter basis, that's harder to do. And it's for the reason you said. It's largely due to the fact that we're embarking on some of these things like P2P, like consumer financing, like some of the other products you've heard us talk about, that starts small but require material investments in -- certainly, in product and technology, but also to get them to grow in sort of seeding the market with awareness.  So over the long term, we 100% believe that we're going to grow our U.S. margins. But at the same time, as long as we continue to see big opportunities in these segments, as long as we continue to see our ability to build and/or partner to create a better user experience in what exists out there, and best, cleanest example of that in our minds is our P2P experience versus the alternative right now in the market, we're going to continue to invest in them. So yes, but it's not going to be a quarterly linear line.
Operator: Thank you. With no other questions in the queue at this time, I would like to turn the conference over back to the floor for any closing comments.
Langley Steinert: I want to thank everyone for dialing in today. And again I want to reiterate my congratulations to CarGurus employees for producing such a great quarter. Thanks again, and, everyone, have a great evening.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time, and we thank all of you for your participation.